Nick Read: Good morning, everyone. I hope you're staying safe. Thank you for taking the time to join us. I'll be joined by Margherita and between us, we will run through the key highlights for the quarter and our trading performance. I'm also delighted that, Vivek, is here to present to you as well. He will introduce Vantage Towers, Europe's leading tower company. Let me start with the highlights for Q1. Overall, our performance in the quarter was in line with our expectations. While we have seen the direct impact of COVID-19 on our revenue, largely because of the travel restrictions, we've maintained a consistent commercial performance that we've achieved through the whole of last year. And in our largest market, Germany, our performance was particularly resilient. As a result, we are reconfirming both our EBITDA outlook and our free cash flow guidance for the year. We've continued to execute at pace on our four key strategic priorities, which will support us in what is likely to be a tough economic environment. We've seen a further improvement in customer loyalty with churn down a seventh consecutive quarter, and we have accelerated our digital transformation, fundamentally changing how we operate and engage with our customers. I'm also pleased with the progress we've made on further improving our asset utilization through network sharing deals and optimizing the portfolio with our Greek towers merger announced this week and the completion of the merger between VHA, our Australian business, with TPG in July. We are also dedicated to playing a key role in supporting society, keeping people connected and businesses function through our committed teams and critical network infrastructure. We donated over €100 million across our markets, which includes over €1.3 million in donations from our employees to local charities. Just as we were there for the emergency response phase, we will continue to support Europe's economic and social recovery in the next phase. As a result, we've evolved our five-point plan and identified key areas where Vodafone can clearly prioritize and simple government's digital agenda. We are working closely with policy makers on this shared ambition. I'm delighted announce the launch of Vantage Towers today. A year ago, I set out a three-phase plan for our tower assets. Firstly, to generate industrial synergies from network sharing. Secondly, to facilitate operating synergies and improve asset utilization by establishing a dedicated towers management team. And finally, to realize value for our shareholders through targeted portfolio action. While there is still work to do on the proposed capital structure, which we will update you on in due course, the IPO of Vantage Towers is firmly on track for early 2021. Vivek will take you through the significant progress we've made to date, provide a financial overview and update you on the IPO timetable. Now, looking at our overall commercial performance, which in Q1 has been good. With further consistency of execution, this is reflected in our improved rates of customer loyalty, with churn down year-over-year for a seventh consecutive quarter in Europe. While the impacts of COVID-19 has reduced the number of customers moving provider, the underlying trend is still both clear and encouraging and a strong indication of the commercial actions we've taken across each of our markets. In fixed, our broadband performance was good despite COVID-19. Overall, we added 230,000 broadband customers in the quarter, and we added almost 430,000 Indian customers. As a result, our on-net penetration has continued to improve to around 30%. This sustained commercial momentum has been driven by a comprehensive set of commercial actions that we've implemented over the past 18 months. We're now competing effectively across all market segments with unlimited data offers at the high end through to second brands in the value segment. We also have clear relative price positioning versus all other brands in the marketplace, allowing us to rapidly respond to price moves or promotions ensuring we always remain competitive. We have also reduced our reliance on above-the-line offers. We are instead using a range of digital CRM tools to drive ARPU accretion across our customer base. As Europe's largest converged operator, we are leveraging a significant mobile base and further deepening the relationships we have with our customers by selling them bundled propositions or additional products to meet all of the communication needs. We've worked hard over the past two years to build and develop digital tools that not only make our operations more efficient, but are also better for our customers to engage with. In particular, MyVodafone app has enabled our cost used to top-up, upgrade and receive help from our virtual assistant Tobi throughout the lockdown. We also use the app as a platform to educate customers on our digital services. As a result, we saw our online sales increased by over 50% year-over-year. We are also working closely with our business customers through the COVID crisis and are developing a range of new propositions to support them in managing the more complex hybrid home office environment we will be facing in the foreseeable future. So, to sum up, our commercial performance has been good and we are tracking in line with the scenario we outlined in May. While clearly, there have been some negative effects from COVID, we have a relatively resilient business model, and I'm pleased with our continued, consistent commercial performance. As I mentioned earlier, we are committed to supporting society and we have further increased our focus during COVID-19. During the initial phase of the crisis, we executed well in delivering on our social contract through our rapid, comprehensive and coordinated five-point plan. Our priorities were to maintain the quality of our networks, support critical services and keep people working, communicating and able to access education and essential information. As we look at the challenging economic period ahead, just as we were there for the emergency response phase, we're committed to playing a key role in supporting Europe's economic and social recovery. As a result, we've evolved our five-point plan and identified five key areas where Vodafone can prioritize activity and support government's digital agenda. These are shown on the slide. This next phase gives us an opportunity, not only help rebuild the economy, but also drive positive sustainable industry change. We need to be bolder, and set our goals higher with a more comprehensive agenda to support societies recovery and resilience in the future. However, we will not be able to do this alone. In order to achieve our objectives and the actions outlined on this slide, governments and regulators will need to support us, as an industry, with measures that promotes a healthy, sustainable market structure that are supportive of network investment and enables us to make a fair return on the capital we deploy. We have some encouraging initial policy review such as announced stimulus and policy programs with digital infrastructure, reassessment of spectrum auctions and the approval of network sharing agreements across our markets. However, more still needs to be done. So we will continue to work hard on this shared ambition of a more resilient, sustainable and digital Europe. I will now hand over to Margherita, who will go through our Q1 trading review.
Margherita Della Valle: Thank you, Nick, and good morning, everyone. I will start by summarizing our overall service revenue performance on Slide 8 before then highlighting the impacts of COVID-19 and the performance of each of our major markets with a particular focus on our largest market, Germany. As Nick has already mentioned, we have delivered a good commercial performance during lockdowns and our service revenue performance in Q1 was in line with our expectations. COVID-19 had a significant impact in the quarter, bringing to a halt our accelerating growth trend. As you can see in the top left-hand chart, our service revenue growth reduced from plus 1.6% in Q4 to minus 1.3% in Q1, while we experienced similar COVID-19 dynamics across all of our markets, the impact on service revenues varied depending on local conditions. As outlined earlier, the performance of our German business was particularly resilient, thanks to the combination of rapid COVID-19 response in the country and our robust revenue mix. Across the rest of Europe, particularly Southern Europe, the drag from roaming and visitors was more material and the net impact of other lockdown effects was clearly negative. Within Africa, higher usage in South Africa was offset by macro pressures and free M-Pesa transfers in Vodacom International markets. Taking these trends into account, we are reconfirming our flat to slightly down EBITDA outlook for FY'21 and we remain on track to deliver our guidance of at least €5 billion of free cash flow pre-spectrum. Before discussing the performance of our markets in more detail, I think that for this quarter, it is worth taking a look at the overall trend first. You can analyze this in a number of ways, but for simplicity, I have broken the revenue growth step down into three broad categories: roaming and visitors, business and other. As you can see on the chart, directly observable lockdown impacts dominate each category, but I will also highlight more marginal movements due to factors unrelated to COVID-19. Starting first with roaming and visitors. During Q1, we experienced an around 70% fall in roaming revenue and in some markets we also saw a significant reduction in prepaid SIM sales to tourist and migrant workers. As lockdown measures have now eased, we are starting to see an improvement in intra-Europe roaming, albeit it still remains significantly below prior-year levels. However, non-EU roaming, which is the key driver of our roaming margins remained subdued. And given the degree of travel restrictions, we don't expect the recovery in the near-term. Due to the seasonality of traffic over the peak summer holiday period, we also expect that the drag from roaming on our overall revenue performance will further increase in Q2. In business, we have experienced project deferrals as expected and the slowdown in IoT revenue growth, principally driven by lower automotive activity in Europe where we have a significant presence. This has only been partially offset by higher business connectivity revenues with many of our customers, employees working from home. We are now starting to see a recovery in IoT volumes but expect corporate project deferrals to continue. To date, in Vodafone business, we have not seen any significant impact from company closures, headcount reductions or any material collection issues. However, we should expect these to become a feature in the coming quarters, especially as government support schemes come to an end. Finally, in Q1, we also experienced negative COVID impacts in consumer, which is reflected in the other category. We did see some positive revenue impacts from the increase in voice traffic at the beginning of lockdowns. But these were more than compensated by other factors and in particular, the drop of out-of-bundle prepaid traffic, top-up challenges in some of our smaller markets and the zero rating of peer-to-peer M-Pesa transfers in Vodacom International markets. Now, turning to Germany, which represents around 35% of EBITDA and 40% of free cash flow. As the chart on the left illustrates, service revenue was flat year-on-year. Our Q1 organic growth rates includes for the first time the contribution of Unitymedia. On a like-for-like basis, revenue growth slowed by only 50 basis points quarter-on-quarter despite the impact of COVID-19, demonstrating good resilience. The drag from roaming and visitors was over 100 basis points quarter-on-quarter. However, this was partially offset by higher variable usage during lockdown and the lapping of international call rate regulation. Excluding the ongoing drag from wholesale, retail revenues grew by 0.4% and fixed service revenue remained stable at 2.4%. Our commercial momentum also remained solid despite the lockdown, supported by the rapid redeployment of our retail employees to online sales support. We added 74,000 cable customers in Q1 and continue to upsell higher speed plans within our customer base. We added 74,000 cable customers in Q1 and continue to upsell higher speed plans within our customer base. 1.8 million out of our 10.8 million broadband base now enjoy speeds of at least 400 megabit per second, a position unique to Vodafone in the market. In mobile, customer additions in the quarter were impacted by COVID-19-related shop closures. However, in both consumer-branded and business segments, contract churn dropped to single-digit levels. Finally, on TV, we will be launching a new harmonized offering across our entire cable footprint in August, bringing our superior Vodafone portfolio to the Unitymedia footprint and delivering the full potential of our premium TV offer. We have continued to make rapid progress on integrating Unitymedia. We now offer gigabit speeds to nearly 20 million households and are also completing the organizational integration, having reached agreements with the work councils in June. Overall, we remain on track against our synergy targets. Now, turning to our other markets in Europe and Africa. First, Italy. Service revenue declined by 6.5% in Q1, a slowdown of 2.8 percentage points quarter-on-quarter. This deterioration was entirely COVID-19 related with the drag from roaming and visitors being around 2.5 percentage points due to Italy's greater exposure to travel. Our commercial performance remained solid. In fixed, we continue to gain market share, adding 45,000 broadband customers. And in mobile, we delivered net neutral ports despite the fact that competition in the market remain challenging, with mobile number portability volumes in June returning broadly to pre-COVID levels. Throughout the crisis, we have leveraged our popular app to direct customers toward digital channels. And this, for example, has supported an increase in the proportion of top-ups carried out digitally to over 60%. Looking forward to Q2, we expect further pressure on service revenue, as we lap price actions taken in the prior year and the drag from roaming increases during the summer holiday period. In the UK, service revenue declined by 1.9%, compared to plus 1.2% in Q4. Again, the quarterly slowdown was COVID-19 related, reflecting lower roaming, combined with decline in business revenues due to project delays and IoT. In response to the crisis, we have rapidly developed new services for our business customers allowing them, for example, to get a virtual customer contact center up and running in just four days with a strong take up by retailers and the NHS. Despite a slowdown in overall market activity, our commercial performance remained strong. Mobile contract net additions increased by 61,000 and we hit a new high in broadband, adding 74,000 customers in the quarter. In Spain, customer porting was significantly restricted by the government during April and May, but in June, market volumes exceeded pre-COVID levels with pent-up demand. We have also seen an increase in promotional activity by our competitors with 50% discounts for new customers being extended once again from three to six months and aggressive offers in both the high- and low-end segments. The particularly extensive lockdown measures during Q1, significantly impacted our service revenue performance, which was 4.2 percentage points lower quarter-on-quarter. On top of roaming, we were impacted by a number of industry customer support measures, such as extra data offers and temporary service suspensions in business. We continue to compete effectively across all segments of the market, adding 170,000 new connections and our base has now been growing for four consecutive quarters. In our other markets across Europe, service revenues declined by 3.1% in Q1 after a 3.4% growth in Q4. This was the only area in Europe with a non-COVID related slowdown with increased competition in two markets, Greece and Ireland, as well as the lapping of prior year price increases in Romania. Finally, looking at Vodacom, the lockdown, as seen mobile data usage in South Africa doubled year-on-year. Increased consumption was driven by new offer, specifically designed for working from home and remote learning, as well as extensive government support packages. It was a very different picture in Vodacom's international markets, who do not benefit from the same support structures as South Africa. There we saw increased macroeconomic pressures and drags from the zero rating of peer-to-peer M-Pesa transfers and from the recent implementation of government SIM registration requirements in Tanzania. As a result, Vodacom Group service revenues grew by 1.5% in Q1 compared to 3.2% in the prior quarter. In summary, I am pleased with how we have performed commercially throughout this first full quarter of the COVID-19 crisis, reflecting our relatively resilient business model, our focus on digital customer journeys and our broad range of commercial offers across all segments of the market. Looking ahead, there is still uncertainty on the macro environment. However, we are trading in line with our expectations, and therefore, are reconfirming our EBITDA outlook for the year and our free cash flow guidance of at least €5 billion pre-spectrum. And with that, I am delighted to hand over to Vivek, who will now introduce Vantage Towers.
Vivek Badrinath: Good morning. My name is Vivek Badrinath. And I have been in this industry for about 25 years in various roles in technology, in enterprise and B2B roles, and as well, I've had a short foray into the hospitality industry as Deputy CEO of the Accor Group. Since last year, I've been leading the TowerCo project for Vodafone. And it's been a very unusual project, as you can imagine, especially in the last few months. In effect, we have mobilized several hundreds of people across Vodafone both in the future TowerCo organization, as well as in all the Group functions to come to this point. And in the spirit of the legendary start up, we have been born, not in a garage, but in hundreds of living rooms, home offices and bedrooms across Europe. And today is a very important day for us, it's the first day of a new name, a new brand and in effect, a new company, Vantage Towers. It has a distinctive and a refreshing branding, and it symbolizes stability in a changing world. That is what we want to be for our customers, for our investors, for our employees, and for the communities in which we serve. Let me start by stating our clear ambition. We want to accelerate Europe's digital transformation in a sustainable way altogether. And for this, we have three pillars to our strategy, which inform our plans: people, planet and performance. We have an experienced management team with varied competencies and backgrounds within the sector and with different functional expertises. The team is now fully onboard, working together, working very well together, and it has been setting up this company and putting in place the operational processes. I am joined by Thomas Reisten, our CFO, who has deep experience across several geographies and several functions in the finance area. Sonia Hernandez, who has been both on the vendor side, on the procurement side, and more recently was the CEO of Vodafone's Malta operations. We also are joined by Christian Sommer, who has been involved in most of the legal, corporate work that the Vodafone Group has seen over the last years, as well as Jose Rivera, who as Deputy CTO of Portugal, has had to drive a huge number of projects, in particular in deployment. We also have Niko Rama, who is our HRD and knows our German operations extremely well for having been the HRD of the technology function for Vodafone Germany. I do measure the responsibility, which comes from the sheer scale of this asset base. We're talking about 68,000 macro sites across nine different countries, and an aggregated pro forma EBITDA, including -- in which equity accounted of €680 million. We are talking about a number one or a number two position in almost all markets when you compare to other tower companies. And we have also, in addition, the potential to include the UK, where -- as regards Cornerstone, we are in ongoing discussions with our partner, Telefonica. To go into a bit more detail on the geographical split, you see here the large-scale of our holdings in Germany and Spain, as well as Greece being and significant contributor on the basis of the announcement we made to date of our transaction with Wind Hellas. We have great tenancies with marquee customers already and a clear potential to grow across several dimensions, which we will detail in our plans to come. This is the first time there has been a dedicated management team focused on driving increased asset utilization on this portfolio. We see growth on the organic side and also for other applications, which come from the fact that intrinsically we are a national grid of locations with energy readily available and connectivity and this can be applied to several more areas. And we also have the opportunity as required to execute M&A in a disciplined way. We believe today that there are six big reasons to consider Vantage Towers as a very attractive investment proposition. First of all, Europe has a lot of potential to still commercialize towers, and we are well behind other geographies in terms of the commercialization of tower assets. Second, we come out of the door with a pre-agreed long-term inflation indexed agreement with our high-quality customer base and that includes, obviously, Vodafone, and Vodafone is very strong anchor tenant and in itself, it has a leading position in mobile across Europe. Third, we have already in five of our markets long-term sharing agreements with at least two operators, which means in essence, that our infrastructure is a significant part of the core grid for two of the major players in those markets. This increases the resilience of our revenue flows. Fourth, we understand this business well and we are confident that we will deliver strong EBITDA levels, powerful cash conversion, and it is a predictable returns proposition. Fifth, we do have a real intent to leverage the growth potential and we're focused on it. There is a clear site growth that is needed, due to the coverage requirements, that have been either imposed or chosen by the operators, and also with the pattern of spectrum awards that are emerging in Europe to prepare for 5G. And these over the -- both the short and the long-term will generate the need for coverage. We also identified work on adjacent services, as well as best practice sharing, industrialization of our methods and processes to generate efficiencies within the operations. Also, as mentioned, we are open to disciplined M&A with a focus on return. And sixth, finally, we believe that what we are building is essential for our connected future. We believe that it enables operators to operate more efficiently to deliver their services to their customers at a lower cost with good performance. We also believe that the way we will operate will allow us to minimize the environmental impact of our business. I am delighted to confirm that today we have announced a very important transaction in this respect, creating our third largest TowerCo within Vantage Towers, with the combination of Vodafone Greece and Wind Hellas' assets. The combined entity will be the leading TowerCo in Greece. It represents 5,200 sites with a 1.6 tenancy ratio at start and already holds 500 commitments for build-to-suit sites. The MSAs are pre-agreed and they are CPI-linked as well. This represents another €55 million EBITDA for Vantage Towers pro forma 2020. So, in summary, we present the pro forma financials of Vantage Towers today. And for financial year 2020 they would have read as follows: the revenue would be €950 million, the adjusted EBITDAL would be €810 million, the adjusted EBITDA reaches €523 million, and the adjusted operating free cash flow, taking out the maintenance capex, as is customary for such assets is €494 million. At EBITDA level, you should also add INWIT for €157 million, which means an equity accounted EBITDA of €680 million. In addition, we could consider if we reach an agreement with our partner CTIL's EBITDA for €50 million to €70 million approximately. And you can also see on this slide, the breakdown by geography. Looking now at the next steps of our journey. We approach them with great confidence because the preparation work is progressing well. We've hit all our milestones so far, in spite of all the circumstances and we continue to move at pace. Our next date together will be a November disclosure of our pro forma H1 financial year 2021 results and that will give us an opportunity to update you in more detail on our progress ahead of an IPO, which we intend to position in the early 2021. We are planning for a prime standard listing in Frankfurt. As the largest proportion of our businesses in Germany, it makes sense to incorporate the Company Dusseldorf and to list in Frankfurt. Our shareholder Vodafone has stated its intent to retain majority ownership. We will, of course, ensure a strong and balanced governance. And if I may refer to Vodafone's track record in JV, such as Vodacom and others, the mechanisms will be fully in place to provide a respectful and equitable treatment of all shareholders. This will be a two-tier structure with a Management Board and a Supervisory Board chaired by an independent chairperson. I would just like to conclude my presentation by stating how exciting I find this project. It has lot of scale and at the same time, it draws on our agility as we set up a new business, which is very meaningful for the future of our sector in Europe, and it aims to create value in a sustainable way for all our stakeholders. Thank you very much.
Nick Read: Thank you, Vivek. A year on from our first announcement, it is great to be able to celebrate the official launch of Vantage Towers today, and I look forward to realizing with you and your team the opportunities to drive growth, efficiencies and unlock significant value for shareholders through the IPO in early 2021 and beyond. So to conclude, Q1 was another quarter of good commercial momentum despite the majority of end markets being in lockdown for most of the quarter. This clearly highlights the relative resilience of our operating model and improving customer loyalty. Overall, the impact of COVID-19 has been in line with our expectations so far. Our commercial performance has been good. We are reconfirming our EBITDA outlook and our free cash flow guidance remains unchanged. And finally, we aim to play a key role in the economic recovery, while also shaping a more resilient, sustainable, inclusive telecom sector, building back better, such as our announcement last week to have our entire Europe network powered by renewable electricity by July next year. We look forward to working with policy makers to accelerate the digital agenda, while also positioning Vodafone to emerge even stronger and play an ever more critical role in enabling the digital society. Thank you. And I look forward to speaking to you all soon.
Nick Read: Good morning, everyone, and thank you for joining us. I'm with Margherita. We are finally back in the office on a phased basis, and also, Vivek has joined us from a different location. So, look, we're looking forward to your questions, and maybe we could have the first person.
Operator: Thank you, Nick. The first question comes from Georgios from Citigroup. Georgios, your line is now open.
Georgios Ierodiaconou: Good morning and thank you for taking my questions. I wanted to start maybe with two questions related with China vendors...
Nick Read: Now, Georgios, I'm going to just stop a second. I should have said, really we need to be on one question, or allow just two. But if we could just do everyone have one, so we could get through as many as possible.
Georgios Ierodiaconou: Very clear. And it will be on one topic and the topic is the Chinese vendors. We've already had decisions in France and the UK, where the stance is hardening and obviously, delaying the decision in Germany, which I understand now will probably come around September, the earliest. So I wanted to ask you, from your perspective, whether that changes any of your planning or your expectations? Whether the timeframes allowed are long enough? And also, in general, whether even without formal bans, whether that changes some of your planning? And linked to that, obviously, there is the IPO process going on for the tower company. Does that change at all your thoughts around active sharing in Germany in the sense that you could share perhaps the cost and processes of replacement with some other player, if that will be the case? Thank you.
Nick Read: Yeah. So, look, I'd probably start with sort of -- if I stand back on the Huawei situation. My view is, the UK decision was unique to the UK because of its sort of geopolitical position, being a member of Five Eyes, its relationship with the US, etc., in the current political, let's say, environment. I do not see it as a automatic translation or simple translation across the Europe. In Europe, each of the member states are currently going through a process on the European 5G toolkit. They are then submitting those plans back to the European Commission. So they were supposed to have done that by now. A lot of them have been delayed just because of COVID. So those plans have been submitted. Then what's happening is by the fall, the European Commission will then come out having seen the plans with a 5G European certification process. I think importantly within the toolkit, they made a distinction between the core and radio, saying radio was less sensitive. As you know, we already made the decision to replace Huawei in the core across Europe over the next four to five years at a cost of €200 million. If it goes down to the radio, our stance is always that we want to have vendor diversity. So we're operating with the three major vendors today, Ericsson, Nokia and Huawei across Europe. What we're saying is, we want more diversity and also we want vendor balancing. So we want to ensure that there is a degree of balancing because what European countries are really focused on is resilience of the network infrastructure and therefore, do not rely on any one vendor. Then the other aspect is Open RAN and get an Open RAN up and running. We think we have a rural Open RAN ready for 2021, and we're looking to an urban, which is a more complex execution, 2022. But we need governments and we need operators to scale this to improve functionality and efficiency going forward. So, what I'd say is, don't do a simple extrapolation. It's not that simple. We're engaged with each of the government's, good positive engagement by each country, as an industry as well, not just Vodafone on its own. To the point of Germany on active, we have been sort of engaged. We went through, as we explained to you the different scenarios. We are doing some active sharing with Deutsche Telekom. We've agreed a reciprocal 1,800 sites. So we have 1,800, they have 1,800 that we will do a reciprocal sharing moving forward. That could be Phase 1. We could look at whether there is opportunity past that.
Georgios Ierodiaconou: Okay. Thank you.
Operator: Okay. Our next question is coming from Andrew Lee from Goldman Sachs. Andrew, please go ahead.
Andrew Lee: Yeah. Good morning, Nick and Margherita. I had a question just based on one of the starkest data points in your release this morning, which is the churn reduction. So the question was actually regarding your cost base, and just whether you're seeing any evidence of lasting changing consumer behavior coming out of the COVID lockdown. Your churn is down 320 bps in the quarter. It would be great to hear your thoughts on whether any of this is structural? And how you are seeing physical commission trends as we come out lockdown? Thank you.
Margherita Della Valle: Thank you, Andrew. I think relative to churn, you may remember what we discussed back in May in terms of our own forecast for the year. And if you look back to what we said at the time, we didn't base our outlook on EBITDA or our cash flow guidance on the assumption that there would be a sort of long-lasting hibernation of the industry. We were keen to maintain our commercial momentum. We were seeing potentially some benefits coming through in the lockdown, but we didn't bet on long-lasting effects. And I think if I look at what we see in our markets at the moment, we do not see that. So what we see is, benefits from the lockdown, then as soon as the lockdown ends, volumes start to pick up again. If you look at, for example, Southern Europe, after mobile number portability gates have been opened, everyone has been sort of fast of the gates there. As far as we are concerned, in this environment, we are, number one, very pleased with our own commercial performance. If you look at the numbers that we have released, despite the lockdown, we have had a fantastic quarter. For example, on fixed broadband, and even some really good quarters in mobile. So, we are competing effectively. And on the cost front, which was the first part of your question, we do see the benefits of digital coming through. So, if I look at the execution on cost for the remainder of the year, both on A&R through different mix more digital, this is structural, we'll see the benefit of that, but not the volume sort of substantial drop for a long period of time. And also on opex, we guided to at least €400 million of opex reduction for another year in Europe and we are proceeding very well on the execution of that.
Andrew Lee: Thank you.
Operator: The next question comes from Jakob Bluestone from Credit Suisse. Jakob, please go ahead.
Jakob Bluestone: Hi, good morning. Thanks for taking the question. Hope you're all doing well. Good to see you back in the office. I had a question on the tower EBITDA that you disclosed. Just if you can maybe help us a little bit with the bridge, you previously disclosed about €900 million of EBITDA, it's now closer to €700 million. Obviously, some of that is the reduction in stake in INWIT. I think there are some other factors explaining some of the difference as well, some accounting differences, some opex? So, can you maybe just sort of help us understand what is it that's changed? And is it -- where is any sort of incremental opex coming from that just helping us bridge the previous tower EBITDA with what you disclosed today? Thank you.
Margherita Della Valle: So, Jakob, very important bridge today. So let me sort of take it step by step. In our release, we have communicated €680 million of EBITDA on a proportionate basis for our towers as it stands now. As you know, we intend to contribute our stake into CTIL, our UK JV into the perimeter. And once you do that you get to, call it, €740 million, €750 million. So you are left with a gap versus the €900 million we talked about previously of around €150 million. And this gap is split quite precisely into two parts. The first one is our monetization of INWIT, which, as you know, since we discussed towers for the first time, we have progressed at pace. And I think we have already delivered at quite an attractive valuation. So then you are left with a residual, call it, €80 million for scale. So under 10% of what was the original €900 million, which is the result of the fact that at the time when we first set out on this project, effectively we tried to size it on the basis of what were publicly available data, whatever was out there in terms of prevalent anchor tenant rates in our markets. Fast forward to today, when the tower companies up and running, effectively we have been able to go into a great level of detail and establish specific MSAs on a market-by-market basis. And we have set the numbers on the back of these precise review. We have set them in a position, which is quite important in terms of balance because it allows, on one hand, our markets to be competitive, and on the other hand, I think it offers for the tower company a strong baseline to then build on its own growth for the future. This is really the main reason of this €80 million, let me call it, organic gap. As you mentioned, there are all other smaller factors, probably not worth a lot of conversation. There is a little bit of accounting adjustments that again we had to do as we went into more details. We have set out the teams, it's effectively the -- coming to the final framework for the Company to operate that has led to these numbers.
Jakob Bluestone: Thank you. That's helpful.
Operator: Next question comes from Nick Delfas from Redburn. Nick, please go ahead.
Nick Delfas: Yeah. Thanks very much. Can you hear me? Yeah. So, just one for Vivek maybe on CTIL. Obviously, the numbers you're talking about in there look rather low in terms of EBITDA. Could you talk a little bit about how you anticipate that changing? Obviously, it's a rather complicated situation given O2 and Virgin with their merger? Thanks very much.
Nick Read: Maybe, Vivek, just to give a perspective on CTIL, the -- if you remember, CTIL was set up on a cost basis. So, it was not set up as a profit center commercial business. It was just cost-plus basis. So, we've had to go through a process of converting it into a commercial business. We are going through that process as we speak. Obviously, then the announcements of O2 and Liberty, so we then reengaged with both of them to understand the process. They're very supportive of the process. They like the strategic direction we're going. So, it is very much our intention to roll CTIL stake to Vantage Towers in due course and hopefully, ahead of any IPO event. But, of course, we have to go through that process.
Nick Delfas: Okay. Thanks very much. Can I just ask a very quick follow-up on physical stores? I just wanted to clarify if your thinking changing about how quickly those might close?
Nick Read: Well, I think we went out in May talking about retail stores and the fact -- I mean, in the COVID world, you've seen digital just ramp up, online channels of 50% sales up year-over-year. So, we are now looking at how do we optimize our retail stores more as part of the overall channel mix and also indirects as well. What role indirects play and how much of a mix they are. So, yes, I would say -- I'd say, more as a mixed acceleration to, let's say, year one, two, year three, how are we advancing that estate to the target operating mode.
Margherita Della Valle: COVID really gave us the opportunity to make a step change, from that perspective. If you look at the sales numbers in the quarter, which as I was saying before, have remained strong. They've remained strong with a 50% increase in volumes on our digital channels across Europe. So quite a big difference. And we have taken the opportunity also to stay close to our customers through the pandemic with campaigns and what I would call as education tutorials on how to access digital, and we believe that some of these changes will actually would be long-lasting, which is why I was saying earlier to Andrew, I think the channel mix is definitely a long-lasting opportunity.
Nick Delfas: Okay. Thanks very much.
Operator: The next question comes from Akhil Dattani from J.P. Morgan. Akhil, please go ahead.
Akhil Dattani: Yeah. Hi, good morning. Thanks for taking the question. Just a follow-up on -- really on the revenue performance and outlook. I guess, firstly, on Italy and Spain, there are some pretty good commercial trends in the quarter. Just keen to understand how much of that is a function of COVID and low activity during the period? And how much do you think is structural and we can extrapolate? And then, I guess, linked to that, Margherita you talked about the three buckets of COVID impacts on revenues between roaming, B2B and other. Can you maybe give us a bit of color on how you think about those three buckets as we go forward as well, please? Thanks.
Margherita Della Valle: Sorry, Akhil, I missed -- I think you were asking about UK and Spain.
Nick Read: Yeah. And then...
Akhil Dattani: Sorry...
Nick Read: It was roaming, business, how do you think about those three buckets that you got on your slide?
Margherita Della Valle: Yes. In terms of...
Akhil Dattani: Those three buckets -- the other bit was just I was saying your commercial trends in Spain and Italy have improved a lot this quarter. And I just wondered, how much was COVID and low activity through the lockdown. And then how much can we extrapolate is may be more structural improvements?
Margherita Della Valle: Sure. So, if I start from this last question on commercial performance. I think that there is a lot on what you've seen in the quarter that I would argue is our structural positioning. Clearly, the volumes of mobile number portability for both markets stepped down a lot across April and May. As I was saying earlier, as soon as you come to sort of mid-May beginning of June and lift off of the state of emergency in Spain, you could see the volumes for the market stepping back up again to substantially the levels at which they were pre-COVID, if not, slightly higher where there was even pent-up demand. Within this context, what I think is structural is our competitive positioning. You heard us saying this multiple times in the past, we compete effectively in those markets now at all levels. Right? From the high-end to the lower-end with our second brands. And this is the position that we have maintained. I think through COVID, if anything, maybe a bit of an advantage from the fact that having good quality, reliable network has been very appreciated at the peak of the lockdowns. But generally speaking, I think it's our positioning. Spain has been growing this quarter but has been growing for every single consecutive quarter for the last year on both fixed, mobile, broadband. And in Italy, we already guided toward a more neutral mobile number portability numbers as soon as we left the price increases of six months ago. So that's effectively what you see there. In terms of then the revenue blocks, so taking those may be also in turn, starting from roaming. Roaming, we have seen some recovery in the volumes in starting, I would say, June. However, it's intra-European roaming volumes that are catching up because travel restriction on long-haul largely remain. And therefore, we see the roaming drag on our revenues, which, as I would say, as expected to increase further in the coming quarter, because we are going toward the peak summer holiday period. I think over time as travel restriction lift on the -- out of Europe, we will see there some recovery and, of course, at some point roaming will become again a growth driver. In enterprise, the second area impacted we called out projects being suspended or delayed. And a bit of weakness in IoT because we are very strong in automotive and there was less car circulation, car sales and the like. This is actually now starting to recover. We didn't see significant impacts from macro yet on Vodafone business, probably because the government initiatives have shielded our customers from taking maybe difficult decisions there. So, I think as we move throughout the year, we may see some of that catching up again -- catching up, sorry. In the other, you have a mixed bag of things. Some positive traffic during lockdowns, particularly in Spain -- sorry, in South Africa and Germany. More than offset by some weakness in areas such as prepaid in the smaller markets or M-Pesa in our international markets, in Africa, where the feed-in fees were zero-rated. Overall, I would say, if you step back from all these puts and takes, but as you have heard very much, the net impact of COVID in line with what our expectations for the quarter were. And indeed still very much in line with our expectations for the rest of the year, which is why you have heard us reiterating both our EBITDA outlook and our free cash flow guidance.
Akhil Dattani: Thanks.
Operator: Next question comes from Maurice Patrick from Barclays. Your line is now unmuted.
Maurice Patrick: Hi, guys. Yes. Maurice here. Just a question from me on Vantage, please. Many tower companies are looking at offering additional services beyond just passive access, backhaul services, small cell, distributed antennas, even towers, facilitating edge computing and data centers even. I mean, are these in scope of Vodafone of Vantage going forward? I mean, take backhaul, for example, I mean, does Vantage intend to offer backhaul services? I mean, does it currently offer backhaul service to Vodafone or Vodafone control those? Thank you.
Nick Read: Vivek, why don't you give a summary?
Vivek Badrinath: Yeah. Thanks for the question, Maurice. Good to hear you. We -- all of the above are in our intent, services for non-mobile operators, public safety, distributed antenna systems. And I don't -- probably a longer -- with a longer time span mobile edge computing, it's unlikely to be widespread to the geographic extent of a TowerCo in the initial phases, but definitely on the plan. As regards fiber, it's obviously a need for all the customers of the TowerCo. So having the ability to offer fiber is a necessity. If you pass the problem, you have sites where Vodafone has fiber and there is no -- I mean, when there is a wholesale intent -- wholesale offer in the market, the ability to provide this on a wholesale basis is something that we would obviously do. And then we will expect more and more fiberization of these sites as you move toward 5G, you're going to need more bandwidth, it's going to -- that the operators are going to require an increased fiberization of the sites. We do see that there is lot of scope for increasing the fiberization across some of our geographies. So we'll be definitely looking into that.
Maurice Patrick: Thank you.
Operator: The next question comes from Emmet Kelly from Morgan Stanley. Emmet, please go ahead.
Emmet Kelly: Yes. Hi and good morning, everybody. So, just -- yeah, the one question from my side. So in the press release you have called for a new deal with regulators and governments, which will, you say allow you to invest more and also to make higher returns. Can you maybe say a few words, Nick, about how you would like to see that new deal manifest itself? Is it through a change in competition law? Is it changes in regulation or maybe changes in the likes of net neutrality? Thank you.
Nick Read: Yes. Good morning. I sort of highlighted in the presentation, on the far right of this slide around the social contract, I itemized about six or seven policy areas we want to influence because I want to make it clear. Social contracts is a contract, i.e., a two-way flow. And so, we're saying we understand what you want to achieve as a government, you want connectivity, you want next-generation connectivity, 5G, etc., you want digitization, you want to create jobs. We want to do all of that too, but what we need is the right framework to be successful as an industry and improve our returns because our returns are at an unacceptable level. And I had spent a lot of time highlighting that and, of course, we added it to our recent results to amplify the publication of the return on capital. I think -- in the short-term, I think there is an opportunity around spectrum. So we had a good outcome or a decent outcome, let's say, in Hungary. An OK outcome in Netherlands. We've got Spain and the UK that we're engaged in saying could we do different models, take a different approach. We're engaging in Italy in terms of the payment is due next year, September, I think, 2021. Can we do that either deferred or stage payments? How can you support the industry? I'd say, governments are now heightened aware of the state of the industry and how critical we are and understand the need to support us, especially because they want 5G rolled out as quickly as possible. So, I'd say, spectrum isn't immediate. There is some things around regulation, whether it's the rules and regulations around deployment, how can you make life easier for us. But also there's regulation around, let's say, disruptive value players that ride off the back of people that are willing to put hard money down in investment. And I think there is increasingly an understanding that we need to earn a return and that need -- that regulation needs to be supportive of pro-investment and innovation. So, I'd say, these are the sort of more immediate ones. And then you can look further out about market structure. Can we have more infrastructure consolidation? We're doing a lot more sharing going forward versus retail. So, making the distinction between the two and sort of supporting the industry going forward.
Operator: Next question comes from James Ratzer from New Street. James, please go ahead.
James Ratzer: Yes. Thank you very much indeed, and good morning. And thank you all so for the -- all the extra detail you've given around Vantage Towers. I was wondering if I could ask, particularly about how you see consolidation in the European tower market going forward. I mean, it's obviously something you've been involved in. So far you've announced another deal in Greece this morning. I mean, I was wondering, in particular, are there other markets where you see more opportunities to do tower deals with the Vantage portfolio. Is it Vodafone's intention to always keep a longer-term majority in Vantage Towers? And how would you see the opening balance sheet of Vantage Towers? Will it have enough balance sheet capacity to go and undertake deals of its own if it wishes to? Thank you.
Nick Read: Yeah. I -- we'll always defer to Margherita on balance sheets. But just -- it -- if I were simplifying it, what I would be saying is, the primary focus is driving the big organic growth opportunity we have. Vivek was highlighting the various elements that we see in terms of coverage, in terms of densification, third-party tenancies, etc. We really see a big opportunity there. He highlights fiber to the site, various other things. So, I think there is a big organic opportunity. And then what we would say on top of that is, yes, there will be targeted disciplined M&A that we will consider, and I think Greece was a good example where we felt, that was a very healthy development for Vantage Towers and we wanted to take that opportunity. In terms of balance sheet?
Margherita Della Valle: I think you've made the perfect summary, Nick, really. We will always look at opportunities of what I would call disciplined M&A, and you have seen the case today with Greece. And we will look at our funding options for those. But the bulk of the growth will come from the organic progression and just growth in sites and tenants per sites.
Nick Read: And clearly, we've not determined yet level of leverage and where we set the balance sheet. We'll clearly reflects on that on the run up to the IPO. But we would want it to be efficient, let's say.
James Ratzer: Thank you. And just to confirm, it is still your long-term intention to hold a majority in Vantage Towers?
Nick Read: Absolutely. Absolutely.
James Ratzer: Great. Thank you.
Nick Read: Look, and the reason is very simple. First of all, we think it's a fantastic asset, a strategic asset with a great opportunity to create real value for shareholders. So we want our Vodafone shareholders to reap that benefit as well. And then secondly, of course, technology, we're in a fast-moving developing industry. And so, we want to make sure that we have the right flexibility for both Vodafone and Vantage Towers to ensure we can compete going forward.
James Ratzer: Great. Thank you.
Operator: Next question comes from Usman Ghazi from Berenberg. Usman, please go ahead.
Usman Ghazi: Hello, everyone. Thank you for taking my question. I just had a question around possibly the late order impacts of COVID. And I just wanted to ask if you're seeing any changes in terms of bad debts or request for extension of payment terms increase over the last few weeks since lockdowns have been lifted? Or have things been fairly stable? Thank you.
Margherita Della Valle: Sure. I think the summary is things have remained fairly stable. We have not seen any material change in behavior in our business customers. Some request for suspensions of service here and there during the lockdown phase, but nothing material. And I think this is probably due to what I was describing earlier, which is our own customers weren't faced with difficult choices just yet. And so, things have progressed as normal. And we will have to see in the coming quarters if that changes in any shape or form.
Usman Ghazi: Okay. Thank you.
Operator: Next question goes to Robert Grindle from Deutsche Bank. Robert, please go ahead.
Robert Grindle: Thank you. Good morning, everyone. I was looking at your mobile data trends in Europe, your usage growth, it actually accelerated by 12% in Q4, but it slowed down by 5% in Q1. I wonder, do you know why that is. Is it because we're all just sending less silly memes to each other? Is more of that data going over home broadband Wi-Fi and is that a material benefit to your network and capex? Thanks.
Margherita Della Valle: I'm actually caught off-guard on this one because the -- we would need to sort of look back into the details with IR. I was looking at the trends of traffic through the lockdowns...
Nick Read: Yeah.
Margherita Della Valle: ...linked to revenues and frankly, I was going to say, we have seen the increase that we had originally sort of lasting all the way through the month of June. But we can't...
Nick Read: Sorry, in other words, it peaked and sort of slightly drifted down, but I don't remember it materially moving.
Margherita Della Valle: I think we need to see if there was something in Q4, but we need to look into or the trend. IR can give you may be more details later.
Robert Grindle: Okay. The data over -- well, that was my calculation, so I'll follow-up on that. Is more of the traffic going over home broadband?
Margherita Della Valle: Yes, for sure. During the lockdown the biggest peaks we have experienced were in fixed traffic. Yeah. Fixed increased much more than mobile because people effectively were working from home. And it was interesting also that it was a peak that was lasting throughout the day. But we have seen increases in both. And again, to my understanding is that, in Europe, certainly they are continuing.
Nick Read: Yeah. I wouldn't -- so -- because I think actually if you decompose it a little bit, yeah, there probably is some people using more Wi-Fi. But at the same time, there's a lot of people as we penetrate unlimited plans that are having an exponential growth in mobile and they're happy to stay on the mobile network and not the pool Wi-Fi. So, I would say, it's a number of factors. It's probably also business as well. People that are business customers, obviously, at home more.
Robert Grindle: Okay. Is there a capex benefit or headwind or tailwind?
Margherita Della Valle: No. Don't think about anything material from all this.
Robert Grindle: Okay. Thank you.
Operator: Next question comes from Polo Tang at UBS. Polo, please go ahead.
Polo Tang: Good morning, everyone. Just had a bigger picture question in terms of consolidation. So, what's your view on the recent European General Court ruling that overturned the EC decision in terms of the O2, Three UK merger? Do you think this will lead to a new wave of consolidation in the sector? And are you detecting any change in terms of a sentiment or attitude from politicians and regulators on the topic?
Nick Read: Yeah. I think when I sort of reflect on it, I'd say, that the ECJ decision itself, in my view, is sort of an incremental positive but not transformational. I do think that the Netherlands decision was really important. So, if you are a failing operator, being allowed to lead the market and then not have remedies on the other players to create another player. So, I think that was a very important decision. And then I add on top of that, the COVID environment and the feeling that this is critical national infrastructure that actually scale is important and earning returns and having rolled out -- having the right financial environment for operators is important. And therefore, you add all of it together and then you'd sort of say that I think there is a general acceptance that the European market broadly is highly fragmented with over 40 groups of operators versus US with three, China with three, India with three, etc. So, I think there is a feeling that there needs to be better formulas going forward. Now, does that automatically mean there's a stampede for consolidation, I don't necessarily think. But you're seeing infrastructure consolidation led by us taking place, a network is coming together. I think this sharing more of network and infrastructure will definitely happen. And then there is a case of what happens with retail brands and what level of competition that is felt necessary in the marketplace, that does not hold back investment.
Polo Tang: Thanks.
Nick Read: So, I'd say, positive momentum, but not necessarily overnight transformational.
Polo Tang: Clear.
Operator: Next question comes from David Wright from Bank of America. David, please go ahead.
David Wright: Yeah. Thank you very much for taking my questions today. Yeah. It's actually a question that follows on from some of your comments in the last question, Nick. And in regards to the Netherlands and your current JV there with Liberty. It does feel like Ms. Vestager has in recent times talked about the potential for more cross-border deals. And as you've said, those look very fragmented versus maybe all the major regions. You obviously have the JV with Liberty, I believe, there is some optionality around that. One of the options that has been discussed with Liberty management has been the potential for a cross-border deal with Telenet. So I just did wonder whether you would have to be open to structure a transaction, perhaps going down to minority stake as long as the existing dividend upstream sort of leverage agreement was sort of broadly maintained. I wondered if you had any views on that. Goodness me, that's a very generous photograph you just put up, by the way. 20 years of European telcos have weathered me a little more than that. Thank you.
Nick Read: Yeah. And you don't have the COVID beard on that photo. And David, I would say that -- look, if I stand back, I'm really, really delighted with the performance of our Dutch business. It's been a really successful integration, good growth. I mean, a really good performance. Obviously, they've got their results coming after us. So, I can't really talk about it. But we are really pleased with the delivery under Jeroen, the CEO. So, we're very happy with the construct of the market, an excellent market where we've got a fantastic asset within the market and we have co-control. So, I would struggle to see why I would want to give that up for a minority position in a cross-border combination. Clearly, if Mike feels there's something compelling, that's a question more for Mike than it is for me. So, we're really pleased with where we're at. We remain in a very disciplined investor. So, clearly, if people are going to step forward with offers, we would always consider at the Board level. But at this point in time, we're very delighted with the business and its performance.
David Wright: Okay. Very clear. Thank you very much.
Operator: Next question comes from Adam Fox-Rumley from HSBC. Adam, please go ahead.
Adam Fox-Rumley: Thanks very much. I was wondering if there are any more thoughts on monetizing tower assets at the individual country level, whether there are any processes still ongoing there or if the portfolio is roughly set as is. And then, I suppose, looking at the numbers this morning, you can see that 90% of Vantage Towers revenues are coming from the Vodafone MSA, would it be right to think about a medium-term target to get that to a lower number 80%, 85% over time? Thanks.
Nick Read: So, I'll let Vivek talk about the second part of the question. In terms of monetization, really the only one that could potentially be is the UK. Do we monetize that? Really, we're focused on the IPO of Vantage Towers. So, at some point you have to say, let's focus on that and just move forward with the IPO. So that is determination that we might make, so it's the only one. Vivek?
Vivek Badrinath: Yes. On the second point, yes, we start with a high percentage of our revenues coming in from Vodafone and that provides the stability with a pre-agreed MSA. So it gives the certainty on -- a good level of certainty on those revenues. But, of course, the management team will be focused on developing other sources of revenue. We haven't put out the targets in this area yet. We are analyzing the market. We are having a dialogue already with several of the operators in the different countries to look at the potential for growth. But the clear focus which will also be translated in the way we drive the company and set its targets will be the development of revenue sources other than Vodafone. So, very clear. No number yet.
Operator: Our last question for today comes from Sam McHugh from Exane. Sam, please go ahead.
Sam McHugh: Thank you very much. Just one on the perimeter of Vantage, if I can, and apologies, it's slightly off topic. If I look at previous slide on towers, I did notice that the number of sites you've got in different places has changed slightly. I wondered if it's because you may be, a, not putting all your towers in Vantage, or maybe it's just because you've made a clear distinction between kind of owned and rented. And then also, Vantage has agreed a BTS agreement with their operator in Greece. And I think you highlighted €150 million, €200 million of kind of growth capex of Vantage. And is that still the kind of right number when we think about what they could do? And then just a follow-up on Maurice's question earlier about small cells and fiber, are there any action being put in? Or does Vodafone Group really not have a material amount of these today? Thanks very much.
Nick Read: Vivek, do you want to...
Vivek Badrinath: Yeah. So, on the number of towers, that would be the adjustment for the fact that in the scope you would now have the towers coming in from Wind Hellas. So, I mean, that would be one of the reasons for the fluctuation, because that was not in initial -- in previous versions, that might be one of the reasons you see the discrepancy. And yes, we have been going through a very detailed inventory of the assets in every country to ensure that we've got the right number. So this would be the number that we came out with today is our pro forma '20 -- end of financial year '20 entry position on the perimeter that we've disclosed. The other question was on fiber, we are not putting in the basket any fiber assets per se. The option that we are taking is to work on having a wholesale offering that enables operators alongside their rental on the tower to benefit from access to fiber. So that's a service offering but it's not in the assets that are transferred. And that's the option we've taken for now.
Margherita Della Valle: I think there was a third part on the growth capex, we will share much more about all these once we come to our Capital Market Day and of the IPO. So, it's -- together with the funding structure we will give you more details at the later stage. Today, it was about sharing the current perimeter.
Nick Read: Look, on that, I'd like to thank you all for joining us. As you can see, we've been very busy burning a lot of hours. We need a rest. So, we'll take a small vacation at some point over the coming months. And look, we all look forward to seeing you in September and beyond various events and our results. All right. Take care and I hope you all have good and safe summer.